Operator: Good morning, and welcome to the CNX Resources Fourth Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Tyler Lewis, Vice President of Investor Relations. Please go ahead.
Tyler Lewis: Thank you, and good morning to everybody. Welcome to CNX's fourth quarter conference call. We have in the room today, Nick DeIuliis, our President and CEO; Don Rush, our Chief Financial Officer; Chad Griffith, our Chief Operating Officer; and Yemi Akinkugbe, our Chief Excellence Officer. Today, we will be discussing our fourth quarter results. This morning, we’ve posted an updated slide presentation to our website. Also detailed fourth quarter earnings release data such as quarterly E&P data, financial statements, and non-GAAP reconciliations are posted to our website in a document titled 4Q 2020 Earnings Results & Supplemental Information of CNX Corporation. As a reminder, any forward-looking statements we make or comments about future expectations are subject to business risks, which we have laid out for you in our press release today, as well as in our previous Securities and Exchange Commission filings. We will begin our call today with prepared remarks by Nick followed by Don. And then we will open the call up for Q&A, where Chad and Yemi will participate as well. With that, let me turn the call over to you, Nick.
Nick DeIuliis: Thanks, Tyler. Good morning, everybody. I want to emphasize four points in my brief remarks before I turn it over to our CFO, Don Rush. All four of these are emphasized in a slide deck that we posted this morning. First off, the first one is 2020 marked the most successful year we've seen as an E&P. And frankly, as a public company, going back to the late 1990s is measured by free cash flow. Better yet, this bar setting level of free cash flow and free cash flow per share, it's steadily and substantially grew as 2020 unfolded. Our original guidance for 2020 free cash flow is around $135 million, compared to over the $356 million or approximately $1.60 per share that we actually posted. It's been an awesome year on a simplest yet most crucial metrics, our debt and share account both declined in the quarter as we allocated that free cash flow to the great benefit of our owners and execution allowed us to strengthen our balance sheet and return capital to shareholders. All of it in the middle of one of the most challenging of years in decades. The second point I want to make, we expect 2021 to be materially better than 2020 as measured by free cash flow. We expect to deliver approximately $425 million of free cash flow in 2021. So that builds upon and then exceeds will be accomplished in a very successful 2020. And that's at the current strip pricing, not consensus pricing. Third point, we built a free cash flow generating machine and that should deliver on average $500 million free cash flow per year, between 2022 and 2026. Of course, that's a market improvement from our 2021 target that I just mentioned the $425 million. And that creates a sequencing position us for 3P on free cash flow level setting when you run through 2020, 2021 and 2022. And again, that's also at the current strip, not consensus pricing, and that assumes the incremental interest expense for our bond issuance that we did last year. Our seven year, $3-plus billion free cash flow plan that we unveiled last April. It remains in place and the first year is now successfully in the books. Fourth and last point I want to make, we expect a generation of $500 million per year of free cash flow to continue for many years beyond 2026. Our basin leading cash costs, which were just $0.01 over $1, all in for the fourth quarter. It remains a huge differentiator for the capital markets. And I think they're just starting to wake up to that fact, extensive swaths of our acreage footprint and inventory. They work quite well at the forward strip because of our cost structure that fires the engine for the free cash flow machine that creates an annuitized and sizable free cash flow stream for years measured in decades. It's no coincidence that all four of these points that I just highlighted, they speak to the same metrics, free cash flow and free cash flow per share. Free cash flow it informs our execution focus, our strategy, our capital allocation, incentive comp, our investment thesis and our M&A screening process. We secure the drivers of it like low costs and midstream integration. We execute to generate it, and then we astutely allocated by applying clinical math. It's a simple, yet very powerful concept. Now, before turning things over to Don Rush, one final thought. I just said, our approach is simple and powerful, but it's also different from the industry. The management team and board of CNX, we didn't make our names originally in E&P. And what we've accomplished to-date sort of proves that, how? We said we were different than a typical E&P from the get-go. And at the time, there were a lot of industry experts that were skeptics. That really didn't matter. We took a 150 year old coal company at the time and through constant battling, toiling and perseverance, we transformed it and really every imaginable way into the premier manufacturer of natural gas and free cash flow per share, as well as the leader in tangible and impactful ESG performance in our space. We shunned the conventional E&P wisdom and we took a best-in-class approach to discipline capital allocation that was injected by our board to create even more per share value. And we achieved all this during some of the most tumultuous times seen in generations, traditionally in E&P team or board, coupled with a standard asset base would have driven the company to a very different place. We know it because we see it out there. Fortunately, our differentiated approach set us up in a position of strength that we enjoy today, and it positions us for even more great things on a per share basis moving forward. This is the team investors and other stakeholders, one, is stewards of their capital. With that, I'm going to turn things over now to Don Rush, our CFO.
Don Rush: Thanks Nick, and good morning, everyone. I'm going to start on Slide 3, which highlights some of the key metrics to differentiate CNX. As you can see in the top left chart, CNX has one of the largest net sale acreage positions in the basin. This acreage position is even more impressive when looked at on a relative standpoint. Since our production is less than our peers and our base P/E decline are shallow. We need to consume less of our current acreage each year to maintain the production profile. We have the deck. So if you look at the next 10 to 20 years, we will only need to develop a fraction of our acreage. If we continue to stay in a maintenance of production plan, this is a key fact overlooked by many, the bigger you are, the more acres you must consume each and every year to maintain your business model. Our lean and highly profitable approach allows for a much longer runway and less risky next few decades, relative to our bigger peers, which need to consume two to three times, the amount of acres we do each year in order for them to maintain their production. This is a big difference, especially when you consider that our plan not only consumes fewer acres, but also generates approximately $500 million per year of free cash flow on average. This outsized profitability on less production is due to our superior margins driven by our best-in-class cost structure that you can see on the top, right. This cost advantage allows us to generate significant free cash flow. And based on where we are currently trading, creates an very attractive free cash flow yield on our equity. And we remain on track to continue to strengthen our balance sheet over the next several years. As you can see in the bottom, right, when you view all of these metrics together, it is clear we have positioned the company to grow intrinsic value per share going forward. Slide 4 digs deeper into the cost structure. As you can see, our Q4 costs came in around $1.01, which was slightly under the $1.04 we got it to on our Q3 call. All in our fully burdened cash cost finished at $1.17 per Mcfe for the full year 2020. We expect 2021 cost to be more in line with their Q4 numbers and to average approximately $1.05 per Mcfe. Year-over-year equates to a 10% expected cost reduction. Assuming that future free cash flow is allocated towards debt repayments, we would expect fully burdened costs to decrease even further to around $0.90 per Mcfe and lower in the years beyond. When you combine our low cost position along with a steady execution we have seen throughout 2020, the result is four quarters of consistent free cash flow generation, which you can see on Slide 5. In Q4, we produced approximately $85 million of free cash flow and $356 million for full year 2020, which was modestly above our previous guidance. Last quarter, we discussed that if CNX shares continue to trade at a high free cash flow yield, we would have the wherewithal to repurchase shares in conjunction with paying down debt. That is exactly what we did and in the quarter, we bought back $43 million worth of shares at an average price of $10.43 per share, with $6 million of that cash settling in the first few days of January, 2021. Slide 6 illustrates the point that our best-in-class cost structure not only drives our annual free cash flow generation under the current strip, it also allows us to develop wells more economically than our peers. As you can see on this slide, out of the key variables in well economics, excluding price, OpEx has the largest overall impact on the economics of the new well. To quickly explain this slide, we use the hypothetical Southwest PA dry well with a 2.6 Bcfe per 1,000 foot type curve and the other assumptions footnoted below. We then looked at how changing the four main variables affect the internal rate of return for that well. For clarity, the deltas shown on this slide are not percent improvements, but nominal rate of return enhancements for that well. So for example, if the base wall had a 30% IRR and you lower the OpEx of that well by $0.50, the well would improve to a 68% IRR. As you can see, operating expense has by far the largest impact on the profitability of a well, much greater than even a sizeable 0.5 Bcfe per 1,000 foot type curve difference. Also, as you can see on the slide, the CapEx or D&C per foot of a well has a much smaller impact to the well’s profitability compared to OpEx. And this relationship holds true, if you want to look at NPV’s instead of IRR’s as well. This is not to say that EURs and D&C costs are not important to us. We continue to focus on driving down capital costs and improving capital efficiency and well performance. And look forward to that trend continuing as we become more and more efficient. However, we recognize a few things about capital D&C cost and its competitive impact. One, we acknowledged that all of our peers are good operators; two, we all use the same vendor base in the basin, so cost and technology advantages don't last long, and ultimately D&C cost converge over time within the peer group. One example of this is the ongoing adoption of electric frac fleets by our competitors, a technology that CNX adopted early on; three, lowered D&C cost across the industry over the past decade has led to continued drilling at lower and lower gas prices, ultimately just bringing the gas price; four, at the end of the day OpEx is the most material driver of well economics as we said before; and five, our OpEx advantage is sticky and will remain in place for a long time. These concepts seem like they are common sense, but we find that most in the ecosystem often overlook it. And instead focus too intently on whether capital costs of $730 per foot or $680 per foot, when the reality is that CapEx per foot is far less impactful to the profitability of a well than operating costs. The bottom line is that CNX has a structural cost advantage on the biggest driver of well profitability due to the fact that we own and control our midstream of water infrastructure, and that we have avoided significant out of the money firm transportation agreements that burden others. These were strategic decisions, it cannot be replicated by others quickly or cheaply, and it allows our best areas to be more profitable than our peers in similar areas, and it allows for a large swath of acreage to be economical for CNX at the current strip, whereas they might not be for our peers with higher cost structures and higher operating costs. Slide 7 is an update from last quarter, since then we have closed on a $500 million senior notes offering, which created additional financial flexibility over the next several years. We have worked hard to get the balance sheet to where it is today. And as you can see, we have not only paid down a significant amount of debt in 2020, we have also increased our maturity runway significantly with our closest bond maturity now five years away in 2026. Slide 8 provides an updated look for 2021 guidance, as we typically do for current year guidance, we incorporated some modest ranges with this updated disclosure. The summary is that based on the midpoint of the 2021 guidance ranges, production and EBITDA are up slightly from our previous guidance and CapEx is up slightly due to timing and the $80 million CapEx beat last quarter, based on the midpoint of 2020 guidance. Most importantly, we are reaffirming our 2021 free cash flow at approximately $425 million, where our free cash flow per share guidance is increasing due to our share buybacks in Q4. On the pricing front, our guidance is based on the Ford strip as of January 7, 2021 for natural gas prices and we have used a conservative forecast for NGL realized price per barrel of $15. Q1 NGL prices are currently running higher than that, and we will continue to monitor this as the year unfolds. And last, as we have said in the past, quarterly guidance is difficult to be accurate on since a few weeks one way or the other on a new pad make a big difference for the quarter, but not for the overall pad economics. However, for some color, we expect quarterly production volumes to be relatively consistent throughout 2021. And as of now, capital is projected to be modestly heavier in the first half of the year versus the second half of the year. Slide 9 is just a reminder that CNX continues to screen very well compared to not only our E&P peers, but against the market indices highlighted on this slide. And as such, we feel that we are a great investment opportunity. Our focus remains on executing what has become a simple story, about generating a significant amount of free cash flow each year and allocating that free cash flow to create substantial value for our shareholders. We believe that this will drive the intrinsic value per share of the company, higher over time and continue to provide meaningful opportunities to reward our shareholders. With that, I'll turn it back over to Tyler for Q&A.
Tyler Lewis: Great, thanks. Operators, if you can open the line up for Q&A at this time, please.
Operator: Certainly. [Operator Instructions] And the first question will come from Zach Quan with JP Morgan. Please go ahead.
Zach Quan: Hey guys. Thanks for taking my question, just wanted to ask on thoughts on the buyback going forward. You utilized roughly half of the 4Q free cash flow to buy back shares. Is that a preview of what we should expect in 2021? And I guess just more generally your thoughts on buying back shares versus reducing debt with the free cash flow you generate.
Don Rush: Yes, no. Thank you for that. And I'll start and Nick can add in anything I miss here. So I think if you rewind time back to our Q3 call, we were pretty consistent in the conviction of the free cash flow plan, not only to close out 2020, but what we're projecting for 2021 and I’ll call it the $500 million on average 2022 to 2026. And we made it fairly clear that hey, the balance sheet was in a good shape, our cash flow generation relative to our debt and our maturities was a very stable manageable scenario and situation and leverage ratio targets that we're trying to get to like a 1.5 times leverage roughly with $1 billion EBITDA runway as you're in that zone, you'd need to have $1.5 billion of debt to kind of get to that one and a half leverage position. And we had the wherewithal and again going back to the Q3 call, we quoted $1.5 billion between now and the end of 2023, Q4 was the first chunk of that $1.5 billion that we were projected to make. And we said we had the wherewithal to spend $1 billion of paid on debt and have plenty of capacity of that extra $500 million to utilize for other things along the way. And if the free cash flow yield at the equity, and if you look at the call close to roughly $2 per share free cash flow that we're projecting for 2021 stayed around close to a 20% free cash flow yield, we would be thoughtful and opportunistic as we move through the year here. So I think as you look forward the clean answers are we'd follow the math, we use the variables, we change decision-making based on how the variables move around us. And we have the wherewithal to do things opportunistically with share count is the next several years unfold and it will be a part of the balance between the debt pay downs and potential returning capital to shareholders and then the good news for CNX and CNX’s shareholders are we have the confidence and the wherewithal to do both.
Nick DeIuliis: Yes, Zach. I would just add to – to me the most important thing here is that we've got a conviction that our cost structure, the integration of our water midstream, upstream and our inventory is going to be a substantial engine for generating free cash flow. So I look at 2020 and total Q4 for 2020, while our guidance is for 2021 and one year in the books across that seven year plan that we unveiled last year, as long as we continue to execute, we are going to A, generate a substantial free cash flow. I think the scoreboard today has shown that we're doing that; B, we then want to allocate that free cash flow in the right places and at the right times, and the two biggest most attractive opportunities we see right now are A, reducing that and B, opportunistically retiring shares if those free cash flow yields that Don had mentioned. So that continues to be the two areas of focus for us on free cash flow allocation. The share count reduction will be opportunistic, and I wouldn't read into a quarter or a year in past, I would instead look towards the metrics that matter to us when we're doing our rate of return math, and I'd expect too in 2021, we continue to execute, we hit our guidance on free cash flow, you're going to see significantly lower debt end of year, and you're going to see a lower share count if the free cash flow yield stays, where it has been hovering at recent.
Don Rush: Yes, and last quick comments, since I forgot to mention it. Our hedge book really helps on just the comfort and confidence and what these cash flows look like for the next several years with our approximately 90% in 2021, we already have a material position in 2022. And then if you look on 2023, 2024, it's getting close to almost being half 50% hedged up in that area if you assume flat production. So there are structural advantages we have as a business coupled with the clarity and cash flow generation via the hedge book allows the wherewithal to be thoughtful on this as these next quarters and years unfold.
Zach Quan: Thanks guys. Just one follow-up, we've seen bases widen out a bit, all are mostly hedged on bases in 2021, but less so in the out years. Can you talk about what you can do to mitigate widening bases and just your general thoughts on what happens with bases over the next few years in Appalachia, given some concerns about new pipelines potentially being delayed?
Chad Griffith: Yeah, Zach. This is Chad Griffith, I'll take that. And I'm glad you asked, because it was a point I was hoping to be able to make today. We've actually gotten out ahead on the hedging risk and we were actually over 90% hedged on in-basin exposure, 2021 through 2024 inclusive. So that really isolates us and protects us from some of the invasive volatility that I think you're pointing to, and certainly that you're seeing, and some of the risk with some of these pipeline projects and potentially what might come down the road on these pipeline projects. So that was – we've gone out ahead of it, we've isolated CNX from that risk and we've been able to get those hedges put in place at what we think were attractive levels. A lot of those details are available in the supplemental materials that we put out, we have not traditionally talked about exactly what markets have been included, but I was – I'm glad you asked, because we were able to sort of add an additional color that a lot of that Ford bases that actually been focused on removing that invasive pricing exposure.
Don Rush: And just to sort of add on top of that to Chad's point, there is the bases side, then there is the indexed and basin price. So those two things kind of can be confusing to think between the two, the bases numbers sometimes it's just the difference between what Henry Hub is and what the in-basin local marginal dispatch cost is to economically kind of hedge out in the future for it to produce the well or in-basin. So we monitor stuff very carefully, one thing the entire industry has gotten very good at is producing gas. So I think when you look at any of the supply demand fundamentals, whether it's in-basin or any other basin markets out there, it's going to be tight, these things are going to be volatile, so we make decisions off the Ford strip, that's why we take opportunities to sort of de-risk the forward plan and ensure that we have the clarity and line of sight on the investments that we're making on the drill bit are protected from fluctuations that may or may not occur. One thing we've all think, all learned is in the world is very unpredictable, there is major drivers and variables that gas prices that are out of anybody's control for the next months, let alone years. So we use this strip to make decisions, we go ahead and lock in some of the economics of the wells prior to spending in the capital, gas prices go up, we have a good wherewithal to be able – to take advantage of that if it's structural and it's a long-term Ford strip thing that we can do, we've shown the wherewithal to manage our production profile to take advantage of seasonality or differences in spikes or down drops in the hand-to-hand combat gas pricing environment, and we feel good about the business model, we've built works really well if gas prices they were at and bases stays where it's at for the next decade, or if it step changes up by $0.50, that's just even a better company for CNX, but we work well either way.
Zach Quan: Thanks guys. That's all for me. I appreciate the color.
Operator: And the next question will come from Neal Dingmann with SunTrust. Please go ahead.
Neal Dingmann: Good morning, all. My first question Nick for you or Don really, giving your now free cash flow, could you discuss a bit your thought process around free cash flow allocation? You mentioned a bit about all the debt repayment, equity repurchased, but I'm wondering when it comes to these two plus a bit of growth and then probably even in the future potential dividends, I'm just wondering how you sort of think about all these.
Nick DeIuliis: Sure. Neil, I'll pick a start at this. Just generally thoughts – macro thoughts that sort of play into this allocation opportunity set. One, lower debt typically in our industry with its volatility coupled with the opportunities that present themselves when things get volatile is always a good thing, sometimes that's difficult to quantify, but we know it's tangible, we know it's real. So I think the leverage ratio metric, absolute debt level metric, continuing to allocate a portion of the free cash flow to debt reduction, there is always going to be front and center with us through the definitely the next calendar year, if not the next two, right. When you get into issues with respect to capital itself, I think the industry is going to be facing more challenging times, frankly, whether it's because of forward strip pricing or just the overall sort of approach of how our industry is viewed by the capital markets, it’s going to get stingier in terms of being able to make your case to secure capital. And those that can be free cash flow generators and sell fund and take advantage of the stingy or capital environment are going to be the ones that not just navigate through it, but thrive in it, and that's certainly us. So the ability to post free cash flow is more crucial than it's ever been, especially on a consistent basis. And then the third thing goes back to our prior comments on the first question, which is on the share count reduction front, it is part and parcel and integral to our philosophy, it was really started by our board a number of years ago. And if you look at our seven-year plan with one in the books and you look at what the prognosis is for our business, when it comes to free cash flow generation after that six year period left on the seven years, there is a compelling case, if the free cash flow yields were trading to reduce share count and create substantial owner value on a per share basis. When that changes because of the math, right, because of the circumstances, when we start to trade in line with what you would expect on yield, then other avenues for shareholder return like dividends I think come to the fore to be considered. But right now for the foreseeable future, that reduction share count reduction opportunistically, I think those are the two primary paths for free cash flow allocation.
Neal Dingmann: Now it makes sense. And then really Nick – my follow-up for you, Chad, just on sort of more on cadence, timing, focus obviously, those earlier slides just showed that the depth of your inventory. So I'm just wondering specifically, given that depth a moderate plan, how do you think about this year? Maybe talk about targeting the Marcellus and Utica sort of dry and wet gas plans around that.
Don Rush: Yeah, I think there is a little bit more wet gas in the mix as you roll in through from 2020 into 2021, you can kind of see it flowing through a little bit of production cash costs that you're seeing in 2021 versus 2020. I think when you look at what we're going to do in 2021, we've kind of call it, go back to the Q3 call, said that if there is the price spike that may or may not happen sort of later in the year, we got the wherewithal to kind of hold some of the 2022 deals up a little bit, or like we've done before, if there is a disconnect in shoulder seasons or something like that, we can kind of delay some things and push it back to later periods. But net-net, we feel good about the next couple of years, we have clean line of sight on being able to execute it very, very efficiently, we got an operating team that's the best in the business to get this done in a very efficient manner. So we're set and how we want to think through that, as we said before, the bulk of the six year program, I guess it was seven, now it's six year program is based off of Marcellus activity with a little bit of Southwest PA, Utica to just blend down some of the debt markets sell scaffolder, Chad can talk a little bit after I finished about how that damp Marcellus gas and what we blend versus what we processed now that changes as NGL prices change. And then a little bit of activity, in the CPA Utica, but yes, cadence wise, it's fairly similar, fairly consistent although, again, these things get lumpy quarter-on-quarter, but Chad, do you want to talk a little bit about the blending and what we were doing?
Chad Griffith: Yes, thanks Don. So one of the additional benefits of owning our midstream system beyond the cost benefit is it provides you a tremendous amount of additional flexibility to get to move gas around to optimize or maximize the value of those molecules. And certainly as NGL prices have rallied, particularly propane we've been able to already move some of our damp production back towards processing to take advantage of that positive frack spread. And we're continuing to assess a number of additional wells that are sort of right on the border between better to send the dry versus wet, we're monitoring those really on a daily basis and close sort of communication with our processing partners to determine like when is it actually like economically best to send those molecules to processing. And [indiscernible] midstream system provides us that flexibility. Similarly, we have, – our asset base has a mix of really a dry sort of Marcellus versus some wet opportunities down the Shirley-Pennsboro field, that's what we're looking at was the exact way to optimize the timing of the fracks and tills in the Shirley-Pennsboro field to take advantage of some of the near-term strength in NGL pricing.
Neal Dingmann: If I can just sneak one in – on Chad on your comment, I guess for you Don, would you all consider monetizing this midstream or is it just – it sounds like it just remains too important kind of like…
Don Rush: I mean, we've – I mean, I guess if you look at the last several years, we've got a pretty thorough track record of just making an economical decisions on left rights on – do you keep a business, do you sell a business, we've sold more things both undeveloped acres and producing acres in different business units than I think anyone else over the last several years. So we followed the math, we assessed any of these decisions. Do we think that – it's a big part of what drives the future economics of the company? Yes. Do we think it's a big piece of why our cash flows are so much lower risk than the peers? Absolutely. I mean, trying to plan it – call it upside down. What the peers would look like at $0.50 higher gas price, we look like that. So that just gives us a layer of reliable free cash flow that gives optionality to do interesting things over, above and beyond that, it unlocks a lot of additional values for CNX. So we evaluate everything when we go to making decisions to do things on a risk adjusted cash flow basis and we'll continue to do so, but we liked the position, – we're in and part of the reason we liked the position we're in, because we're the only one that has it. If everybody had the midstream, the gas price will probably just be $0.50 lower. So, I mean it's unique for us because we're the only ones that have this type of a situation.
Neal Dingmann: Great details, and tremendous free cash flow guys.
Operator: Thank you. And the next question will be from Holly Stewart with Scotia Howard Weil. Please go ahead.
Holly Stewart: Good morning, gentlemen. Maybe I'll just start off with a couple of questions on the production numbers. Could you provide the overall shut-ins in 2020 and then let us know or give us some color on if there is anything in the 2021 guide in terms of shut-ins?
Chad Griffith: So as far as what the total quantity of Bcf shut-in during 2020, I mean, I think we can follow-up with you on that Holly, it’s not – I started looking at on a per day number and starts to have watched how it fluctuated over time and make sure we were optimizing the value of that. But I don't have the total quantity sort of available in my back pocket right now. As far as like 2021 guidance, we're not currently planning on having any shut-ins in any of that guidance. It is obviously something we'll continue to monitor, if the opportunity presents itself to better maximize the value of our assets or our production stream by timing production differently, then we will definitely jump on that just like we did last year. And just like we did last year, if we'd make that call again, we would lock in the arbitrage of hedges again, just like we…
Don Rush: We’d modify and sculptor heads book appropriately, if that opportunity presents itself. And like I said, that's just a lot of the flexibility that we have, it’s hard to mathematically show the value until you do these things as they unfold and trying to predict when they happen is impossible. So we don't try, we just keep our eyes open for them, and we move quick when they show up.
Holly Stewart: Great. Well, maybe Chad, just a follow-up to that. Can you provide the exit rate for the year for 2020?
Chad Griffith: Yes, I got that, so we’re looking at – 1.7.
Don Rush: Yes.
Chad Griffith: About 1.7 a day.
Holly Stewart: Great. Perfect. And then Don I saw the slide on just the total cash cost guidance for 2021. Maybe getting just a little bit more granular 4Q, the material costs were a lot lower than expectation. Is that a good level kind of to think about as we're moving through 2021?
Don Rush: Yes. Where it gets us into some of the mix as you roll into 2021, we've kind of given what the costs look like in 2021, and clearly some of the optimization, Chad talked about moves and things around, if you have some processing, you end up with some higher realizations, so the cost looks a little bit higher, but ultimately your margins day and your cash flow is that you're looking for 2021 to stay the same. So you're going to see call it fluctuations based on a little bit more dry versus a little bit more wet, and you look at some of the kind of the FTE moving around on to unused to use and stuff like that. And it's just really kind of day-to-day hand-to-hand combat as we're seeing what the delta is between the Q3 to Q4, then into 2021. So will continue to use, I call it goalpost guides to give somewhat clarity, but it's going to fluctuate on a quarter-to-quarter as we make these week-to-week decisions.
Holly Stewart: Okay. And then one more for me, if I could, how are you thinking about that CNXM credit facility, does that stay in place?
Don Rush: Yes, so right now, when that transaction was structured and effectuated they – that instruments remained outstanding. So we still do financials and post them to the holders down in that standpoint. And what we do or don't do call it over the long-term I guess to be determined. I think what it allows is some flexibility and call it safety and capital structure management. Obviously the simple thing would be that, hey, that one capital consolidated structure and load that for the enterprise, and if that makes sense over the next several years, then we can migrate towards that, for whatever reason, Nick’s earlier, if some of the E&P specific kind of debt markets are more difficult due to whatever reason and rationale that might be even though our balance sheet and everything looks good individually, you could get caught in like just the industry-wide like noise. We have like the midstream side, which is just a pretty amazing efficient way to raise capital with the kind of security and cloud, where you can provide in that, like we talked about the safety and the cash flows that are available to that kind of piece, and entity saw this, I guess, in, right in the middle of the COVID situation, when it started last February, March, when we did our CSG project financing. I mean, our upstream bonds were trading difficult along with the rest of the peers’ groups on trading difficult, but we raised 150 million or so dollars to call it a blended almost 6% interest rate, whenever upstream bonds were very challenged. So on long-term, we'll see near-term, like most cost effective thing to do is kind of leave them as they are and we'll make those decisions and we got time clearly with – when the bonds down there expire and obviously the credit facility down there has a good runway on it to.
Nick DeIuliis: Hey, Holly, this is Nick to just a general thought on that. I think it's an important point, because whether we keep two separate facilities or whether we combine them into one moving forward, I think it does show that our cost of capital should be more efficient because of the asset array that we've got the new typical upstream Appalachian peer, in other words, that whether it's one single facility moving forward or two separates the weighted average or blended cost of that is going to be better and cheaper than what you would typically see for an upstream modeling. And that makes sense to us, that's part of the – that's like another confirmation of it driving things like costs and excuse me, free cash flow.
Holly Stewart: Yeah. You probably saw that in the way that your bonds priced back in November, so, okay. I appreciate all the color. Thank you.
Operator: The next question will be from Michael Scialla with Stifel. Please go ahead.
Michael Scialla: Yes, thanks. Good morning guys. It looks like you're going to be able to pay off all your debt and your revolver pretty quickly with free cash flow. I just want to see how and when you're planning to retire your fixed debt in your seven-year plan. Do you build up a pile of cash until the fixed debt becomes due? Or can you call any of the fixed debt early? How were you planning on handling in your seven year plan?
Don Rush: Yes, I guess flexibility is new word we've been using often, but being able to pick and choose along the way is just something that we find to be helpful and thoughtful to be able to do this. We have a nice structure, I think with what we have at the RBL, like you mentioned, we do have some of the CSG bonds out there too, that are pretty – not pretty they're very efficient, they basically will call bullet par. And we also have the cost structure starting to kick in really here in a couple of months for our first unsecured bond and clearly there is up in market trading too. So if you look through 2021 easy math is, and just like you said, I mean, there is enough to basically take care of the RBLs and that puts you in a place to allocate capital, behave very thoughtfully, not only across the different pieces of the debt structure, but the wherewithal to do things on the share repurchase side as well. So simple math and what we've kind of lay out in the 2021 guidance, is it just go into the RBL for the simple math in the guidance, but when you look at the optionality, you have to pick and choose these capital stacks, that's a nice piece to have.
Michael Scialla: Okay, good. So it sounds like no need to park cash on the balance sheet for any extended period of time. Wanted to ask on Slide 6, it's a great slide, showed your cost structure advantage on operating costs relative to your competitors, as it relates to well economics. If you looked at that same chart, not relative to your competitors, but just relative to yourself today versus where you think you'll be 12 to 18 months from now, can you say what you think the biggest controllable driver under that scenario would be on your returns?
Don Rush: Yes, I think as we've laid out in prior calls, our forward looking assumptions are fairly conservative, so that the cost components that we have kind of coming down where basically contractual in nature. I mean, it's unneeded commitments that we have and just rolling off as they expire the contracts expire. Clearly Chad and team has obsessed on the D&C front, and they're doing a lot of great things to push the envelope there. And we're trying to obviously push the envelope on the OpEx cost side as well. But Chad, I don't know if you want to talk about any of the initiatives we've got on sort of the OpEx and the D&C to try to call it, continue to beat what it is, we're doing today.
Chad Griffith: Yes. Thanks Don. So certainly on the OpEx side, as we've talked many times about a big chunk of the OpEx stack is contractual and/or corporate structure based means that the ownership are midstream, the fund transportation commitments we've made these are long-term sticky cost advantages, that it would take our peers a long time or a lot of money to sort of narrow the gap on. Some of the stuff, that's a little bit more directly controllable that we are paying laser focus to is your OpEx piece, which is a smaller part of overall operating costs. But certainly OpEx contributes to that, it's about 10% of that stack. And we're always looking at ways of maintaining by – optimizing how much maintenance we're doing, optimizing how much expense we're – how much money we're spending, what we're doing with crews, how we’re deploying our workforce, trying to squeeze every bit of optimization we can out of maintaining our asset base. Similarly, on the D&C side, look, one of the – not only just our sort of maintenance and production, the seven-year plan that we've put out there provide you guys a lot of guidance in a long-term view, it also provides our operating teams a long-term view, and that allows them to plan ahead, negotiate, smart contracts, smart logistics, making sure that supplies will be in place, service providers know what's coming, that we see what challenges are coming down the road, whether it's longer laterals or different drilling locations like making they see that coming down the road, they know where they're going, they know what to expect, and they can plan accordingly, that has allowed us to execute at an extremely high level, they continue to improve the leading edge cutting edge of D&C efficiency. And, look, we've got a team downstairs, incredibly intelligent people, incredibly technical operators, giving them that long line of sight on what to expect, giving them clear goalposts for what we’re solving for, free cash flow per share has allowed them to just focus on executing and getting the job done.
Don Rush: Great. Thank you for the details.
Operator: And the next question will be from Nitin Kumar with Wells Fargo. Please go ahead.
Nitin Kumar: Good morning, gentlemen. And thank you for taking my questions. I want to – may change tack a little bit and talk a little bit about what is your macro view on gas right now. Your own plan calls for very steady production, you were talking earlier about hedges but I'm just kind of curious what do you see out there from your peers and some – just on the gas perspective?
Nick DeIuliis: Yes. So we've been cautious about the 2021 strip for some time now. I think we've consistently messaged that we're very – keeping a very close eye on weather, particularly this winter weather. And I think we're all keenly aware that the winter's been a little bit disappointing so far. And I think the strips traded off as a result. I think since our last call, I think call 2021 full calendar years off, maybe call it $0.28 or so. And I think call 2022 is maybe off a dime. So you've seen the markets respond to the weaker winter, and I think that's what we’re all sort of worried about. Nevertheless, I think there is some structural under-supply going on. It looks like, even with production, production is off, one or two Bcf per day compared to last year, if demand and exports are up. So it does look like we're maybe structurally under-supplied. So everyone's shifting their bull thesis to next winter. It sort of makes sense to us, I think, but at the same time you've got rate counts ticking up ever so slightly. You've got – weather continues to play a big role. I think the point is the markets are going to continue to fluctuate wildly as a function of weather, producer behavior, policy, like there's going to be a lot of volatility in gas prices. We will continue to hedge. We continue to hedge, we're very heavily hedged well out into the future years, we'll continue to hedge. We continue to include basis as part of our hedge, just to minimize the amount of that fluctuation effect on our – just to minimize the amount of those fluctuations effect on our free cash flow plan.
Don Rush: Yes. And just to sort of add on top of that, I mean, we do have a lot of internal views and analysis on these. We just recognize that a perfect crystal ball doesn't exist. A couple of variables and small movements on a couple of variables outside of anybody's control can take a very accurate model and make it look silly within the matter of months. And when you look statistically, I mean, the end up – the flow hedging typically ends up better than not hedging, and that's just statistics. And we recognize that fact and – or eyes open that there could be a structural change and obviously, we'd be happy to see that. I think you're hearing a lot of the right things from different folks about trying to stay disciplined and focus more on free cash flow and maintenance and production. But I think the ecosystem has a long way to go to solidify that they're actually going to do that. And part of the ecosystem is, I mean, if you just look at the research community and others, I mean, they're still valuing companies off of EBITDA multiples. And the free cash flow talk I think, is starting to come, but I think the more it's demanded and the more free cash flow is the main driver on how people are viewed and valued. There's always going to be risks because it's pretty easy to grow EBITDA as the E&P company. I mean, these wells and the ability to deploy capital and grow EBITDA is real. We've seen it, but it hasn't actually showed up in shareholder value. So I think this – you all can help the ecosystem and everybody, I think will be better off, focused on free cash flow is the main driver on how companies are viewed and EBITDA multiples remain the soup of the day, it's risky, it's enticing, I guess, to go ahead and grow that EBITDA to get a favorable kind of treatment in valuation mechanics versus maybe the right decision was just to focus on free cash flow, but it hasn't quite flowed through how people view companies yet.
Nitin Kumar: I certainly appreciate your focus on free cash flow. So I appreciate that part of your answer as well. I guess, you also kind of been passing mentioned how difficult it is for the industry these days in terms of investor sentiment and ESG concerns. You were one of the first to adopt e-fracs in the basin, but I'm just going to curious, are there strategic opportunities that you see to participate in any kind of green revenue streams and things like that? One of your peers was talking about partnering with a company on monitoring some of their wells. Just curious, beyond just reducing your own emissions and you're using e-fracs anything you're seeing that might be interesting.
Don Rush: Yes, no, I think, this is something, some of the conversations that I've had, and I know Nick has had as well. So, I'll talk a bit then Yemi can talk and as Nick wants to chime in too, but I think a lot of the things we've been doing have been very call it ESG focused and friendly. If you look back to the creation of CNX gas and capturing call it coal-bed methane that would have escaped to the atmosphere and today it's called big flaring and different things like that in the oil and gas field, but we've been focused on trying to be thoughtful for a long time now. I just don't think we've talked in ways in languages that people are used to sort of seeing this. I mean, the evolution practically it's one example. I mean, we're very focused on sort of local and sustainable and trying to be thoughtful on numerous fronts here. So I think our track record shows we've leaned into a lot of these sorts of things. I mean, we have a partnership with a bigger plant that does kind of like, call it coal-bed methane generation and we've generated carbon credits. We've had for the last few years in different vehicles. So focus is there, I think communication can be improved. And I think the track record of things we've done, I think gives you a little taste of things we can do going forward. So yes, we're very interested in not only doing right, but generating thoughtful profitabilities through this and the company set up and has a lot of the ingredients to be very successful if that's becomes more and more important to the world, but I'll go ahead and let Yemi chime in as well too.
Yemi Akinkugbe: Thanks, Don. I think the ESG – the new focus on ESG is appropriate even in the environment, we're in right now. Like Don was talking about the whole purpose and the whole view of it as being our DNA, right from the outset. The way the company was created was if you look at it as more in the limelight of ESG. And one of the things, from us that we really appreciate with a new focus on it, we're local. We've worked local. We live local. Our employees are local. So the new focus on ESG, especially to make sure that the companies are responsible. It’s actually a good thing. It's a very good thing for our workers. It's a very good thing for a company. And in addition to that, that provides new opportunities for us and for all the companies out there as relates to that. I mean, we've started looking at ways to use more of our product. And we've seen that when we deployed our electric frac fleet, we saw the efficiency and that's why we – seen some of our other competitors adopt that as well. And as we continue to talk and evaluate, by seeing more, more, and more opportunity with our legacy asset to actually take advantage of new focus and opportunities in ESG.
Nick DeIuliis: And then finally, the only thing I'll add is from a big picture perspective, if you look at sustainability and ESG, right, two buzzwords or terms that are being bantered about everywhere, you look these days. We translate what that means into really three crucial legs. One, you got to be transparent. So when I think of sustainability and our local commitments that Yemi just talked about, or our free cash flow generation, we need to put out to the world, right. There's a responsibility to transparently state and very clear metrics that are measurable, what you're going to do versus just hollow words or promises or happy talk. I think you see too much happy talk when it comes to sustainability and ESG, let's be transparent. Let's lay our cards on the table and show the capital markets and wider stakeholder group, what we're going to do. Two, tangible, okay, these things, these targets, these metrics need to be measured. They need to be tangible. Like what did we actually deliver on? That you can measure whether it's financial sustainability or ESG, as it relates to wider stakeholder groups like tangible, measurable accomplishments, not sort of PR feel good type things. And then the third piece of this is actions, right. So if you're laying out the transparent view on what you're going to do, and then you're doing that in tangible metrics or your actions going to be consistent with all the stuff you just said. So I think it's pretty simple across those three, but despite all the talk and the volume of stuff that's being bantered about across those metrics, I think those three things are lacking quite a bit. We don't want to be in that, but we definitely want to be in the camp of, hey, here's what we're going to do, transparently. Here's what we're going to measure and accomplish tangibly. And then here's what our actions were that were consistent with those two things.
Nitin Kumar: Nick, I can certainly tangibly touch the $43 million that you returned to cash shareholders this quarter. So that's great. If I can just need one last day, I won't be an E&P analyst if I didn't ask about capital efficiency as you head into 2021, what is your base decline compared to 2020 as you hit it into 2020? And how do you see that tracking as you slow down your activity levels?
Nick DeIuliis: We certainly expect base decline to continue to decline over the seven now six year plan. The thought was the idea there is as your production stays flat or flattish that your replacement each year with new wells goes down because we got more, a bigger, bigger portion of your production basis is sort of older wells. And as those wells – as the average age of your wells get older, the decline curve flattens out. So your replacement rate goes down over time, and your average decline rate goes down over time. I think this year we're – we expect sort of looking at 2020 exit rate and sort of what the decline is off of PDPs into 2020, where I think we're somewhere in the mid to low 30% sort of decline curve – decline rate year-over-year. So that's sort of what we're targeting right now is needing to replace in 2021.
Don Rush: And as you've moved forward through 2022 and beyond, this 2026 plan, it'll kind of trend down to around that 20% sort of timeframe. And I think when you look at call it 2021, it's a little bit noisy just because we shut in a lot of things in 2020. So it turned a bunch of things back on, right around kind of November, December at the end of 2020. So again, the decline rate between 2020 versus 2019 and 2020 versus 2021 just looks strange because of all the different shut-in things that we did. But like I said, assuming sort of no shut-ins in similar cadence, you'll see it move from that position in the low-30s down into the mid-20s has been down into around the 20% or so when you get to the midway point of, six year plan.
Nick DeIuliis: That's a good point, Don. So if you all recall, we held back a lot of production of our new wells. I brought them online with winter. So you basically had a handful of brand new pads till the November, December time period. And so they were at their peak production. And then as we roll off into the balance of 2021, you'll see those pads come off their typical early times for new client. And that was – I can't, I'm going off memory goes like from March to November. So it was a bulk of our pads that we – and again, economically fantastic. It helped our cash flows tremendously. It helped the rate of return to those pads tremendously, but clearly, it gets moving around a little bit on these base declines whenever you're doing things like that.
Nitin Kumar: Appreciate the answers, gentlemen. Thank you so much.
Operator: The next question will be from Leo Mariani with KeyBanc. Please go ahead.
Leo Mariani: Hi, guys. I was hoping to get a little bit more clarity on the production here, obviously a very strong fourth quarter. You guys talked about a 1.7 Bcf a day, exit rate here. And I think if I heard you, right, it sounds like you had a lot of wells that came on kind of later in the quarter at peak rates, which kind of helped you guys achieve that. But as I look into to 2021, your guidance is kind of just over 1.5 Bcf a day on production. What's down quite a bit from that 1.7 exit rate? Can you just kind of help me with the math there, is there just a really big drop in the first quarter, maybe because no wells are coming on, because I think you guys have said that the quarters individually in 2021 are all pretty similar on production. So can you kind of help me bridge the gap between the one seven and kind of the, just over one five and the guidance here?
Nick DeIuliis: Maybe I'll start and let Don maybe wrap up with anything I missed, but certainly I think what you're seeing with that exit rate is an impact of the shut-ins that we had during 2020, right. So we held back a number of our brand new pads, brought them online, the end of – early November, end of November. And so you're seeing basically December 31 number that is very, very strong. And that results in a surge of production synced up with November, December basically [indiscernible], right, November the winter month, the strong price that we saw in the incremental hedging that we layered on to capture the strong winter pricing, that was by design. That was by plan. That was the whole point of sort of shutting in summertime 2020 production was to get this surge of production during winter 2021. But obviously, as you roll into sort of normal course steady pace development that sort of normalizes over the course of the year and I think ultimately averages out to them, basically what you're looking at over the course of the year, we'll end up averaging out the numbers you’re alluding to there.
Don Rush: Yeah. And I think as you roll into, again, we had, it was by design. We wanted to get as much production as we can and how we optimize the flow of those wells to get when the price back in – again, we got to be in a hedge book. So even though kind of the cash prices, didn't hold in there as much as you'd hoped in December and in January, we got it via because we re-sculpted the hedge book and we captured those margins. Even though that it didn't kind of show up and as you look into call it, I'd say our cadence on Q1, Q2, Q3, Q4. Yes, I mean, Q2 is probably going to be the lightest quarter. I mean, it typically is for us. And but it's not like dramatically different. So yes, we'll run on that sort of average will be, Q1 will be a little bit above Q2, be a little bit around it or so below it, then three and four will be kind of similar in that front. But like I said, this could change pretty quickly if that the gas prices spike in the summer, drop in the summer, spike in the shoulder, drop in the shoulder, spike next winter, don't spike next winter, we'll shift around our production management to squeeze out, actions of millions of dollars. And for us, that's all free money. If you can just shape your production profile different and increase your returns. I mean, why wouldn't you, right. So I think these exits quarter and years are going to just look weird for us because we're always going to be moving things around to try to grab that extra million dollars here or there.
Leo Mariani: All right. So just to make sure, I sort of understand, I mean, again, I guess, 1.78 exit to the 1.5 does seem like a fairly kind of healthy change. Are you guys sort of saying that there's a big component of like choke management and just production management, also just driving the shape of the volumes where you guys were just trying to kind of produce all out into the winter and now you can kind of choke back the wells and be a little bit more steady in 2021, am I understanding that right? And obviously, I know that as prices change during the year, you'll modify that approach, but just want to make sure I get that at a high level?
Don Rush: If prices are good, you try to grab as much production per day as we can if prices aren't that good, you try to save a little bit for later. If the later prices she has something better, but I think again, it's going to be on a quarter-to-quarter, week-to-week thing. It's going to be like hard to tick and tie, but if you look step back like 2020, our production power was a 500. That's 2021, 511, so 2021 where 511 for the year. 2021, we are forecasting 555. So just because we’re like 1.7 in December, we're going to average like 15 or something all across the year like we've increased our production by 10% on 2020 versus 2021, for the capital program that we have out there, it still generates $425 million in free cash flow. So this is like pick and pines. It's like 1.75. And like our 2021 production is coming down like our 2020 to 2021 production grew by 10% and you're going to have some things. And like I said, I'm glad that we had 1.7 in the good month pricing. And right now, it's a little bit shaped, could be down. So I think that a bunch of stuff, whether it's choke management or optimization on that, coupled with the fact like we said earlier, we saved all of our deals that were going to be coming online in the summer and fall last year and turn them online in the winter. So that's going to create a little bit of a not smooth production profile.
Nick DeIuliis: And just to sort of maybe wrap it up on this issue. I think what you're seeing is what happens. It's the difference between managing an E&P business for production and production growth and production cadence versus managing a cash flow generation plan to create per share value. We look at what's going on month-by-month or week-by-week or quarter-by-quarter in the context of free cash flow and free cash flow per share. And the way I look at the progression is 2020 was a very successful free cash flow year of 3.56 and 2021 it's going to be even more successful. We hit our guidance, right or when we hit our guidance at 4.25. And to me, that's what we're solving for, production, cadence played out in that is nothing more than a variable November to be managed versus the other way around.
Leo Mariani: Okay. That's a good color, I guess, just last one here for me. Can you give us number of wells that you plan to drill and complete or turn in line, however, you want to look at it in 2021 like, how many Marcellus wells, should we expect to come online in 2021 versus how many Utica wells in the plan this year?
Nick DeIuliis: Sorry, I'm just getting a sheet of paper. So the bulk of it is Marcellus. There's two Utica wells in 2021. Yeah.
Leo Mariani: Okay. So what's the total number of wells then?
Nick DeIuliis: So we haven't said explicitly, Leo, so I think in 2020, we were at 46 or 47 tills, I believe off the top of my head 45. And then we said, we're going to transition obviously to the maintenance plan, which averages 25 wells a year from 22 to 26, 20, 21 is going to be probably somewhere in between, but maybe a little bit higher.
Leo Mariani: Okay. So between the 25 to 45. All right.
Don Rush: Yes. I mean, we're, I think right now we're on 37. So, I mean, like I said, we can get something posted out there for clarity. We'll do it as like the quarters unfold in our supplemental tables, but yes, right now, 2021 it's around 37 and two of those are Utica.
Leo Mariani: Okay. Thanks guys.
Operator: The next question will be from Noel Parks with Tuohy Brothers. Please go ahead.
Noel Parks: Good morning. One question I had, I was thinking about your share buyback plan and you already have a good healthy allocation already approved. And I'm just looking at the stock and the chart and thinking about what your appetite was for taking the risk of continuing to buy, if the shares and maybe gas prices keep, keep trending up. And if you have a sense of maybe an upper limit of how far, how far up in price you might consider buying. And I think I asked this, on a 52 week basis the stock is kind of near the top of that range. If you back off a couple years, it's kind of like right smack in the middle of where it's traded the last few years. So I guess, my thought is, do you consider where it is now, just weighing the value on the free cash flow basis, as you've mentioned and where you'll continue to buy that would be attractive, or do you think there's a chance that, it's going to run too far beyond where you you'd really want to put capital there?
Don Rush: Yes. I mean, I think I'll start with saying, predicting what the stock price is going to do or not. There is the impossible thing, like we want time. I never thought it would be a five or $6 share for the time that we were there for the middle of COVID. So trying to predict this stuff perfectly, it's similar to gas prices. It's like a full van, like, it's just something that it's hard to do. I think whenever you dumb it down to its basic principles of like, how do you feel about the free cash flow per share the company what's that translating to free cash flow yield? How do you think about pace and process and timing as Nick said, this is something we talk about and think through with the board all the time clearly, we have the wherewithal to be thoughtful on this and we'll try our best to judge things as best as we can over the next several quarters and years. Because you're right, I mean, there's different catalysts that could have different effects and we'll continue to call, make the right calls at the right time to the best of our ability or over the next several years here. The good thing is that, you know, there's a lot of cash flow coming relative to that relative to the market cap of the company relative to getting to the balance sheet to which would be completely, completely ironclad once we're at that level. So the optionality is there and we spend a lot of time trying to be thoughtful around these decisions is weeks and days and months and quarters and years unfold.
Nick DeIuliis: And then the only thing I'll add, Noel is that, to me, it's much. And you're, you're right about obviously the one year and the prior multi-year averages versus stock price. But for us, the decision-making on allocation of our free cash flow and particularly in the area of share count reduction, exclusively comes down to what we think our future performance is going to be, what the risk is assigned to it. That metric, right, it defines that as free cash flow, free cash flow per share, the free cash flow yield, and then seeing, is there a per share value creation opportunity with respect to share count reduction. And with the yields that we've experienced, right. Looking at based on what that is, 2020, 2021 and forward on free cash flow. There was a good opportunity there we took advantage of in Q4, we've got the flexibility, as Don said, to keep doing that through 2021 and beyond. But at the same time, debt reduction remains front and center with regard to our focus.
Noel Parks: Great. Thanks a lot. And my other question, and again, this is asking you to talk about it, think about it, totally external factors, but I have to admit, I am a little surprised that crude has stabilized as handily as it has, right. In the sort of low 50s for the last, I guess, for going on three weeks or so. And of course, a lot could happen geopolitically, OPEC, COVID and so forth.
Don Rush: But do you have any sense and hedging, with your hedging, it doesn't affect you directly that we might be seeing an associated gas story, maybe start to interfere in the gas market. More as a say, second half 21 event, I was not really thinking that was going to be likely for at least another year plus.
Nick DeIuliis: Well, I mean, I guess, if you can predict how Saudi Arabia and Russia will cooperate over the coming 12 months. I mean, that's a better crystal ball than I have. I think that's why we definitely focus on hedging because some of this stuff is just beyond our ability to predict, I'm encouraged by seeing crude sort of stabilized around that $50 a barrel mark that seems to keep people from getting too heavy back into the associated gas place. Although, I am hearing banks start talking about seven handles on the oil price, you start getting up to those price levels. They're talking like year or two down the road that those levels you'll probably start seeing some folks coming back into the associated gas play. I'm just not sure whether the OPEC plus will, is that interested in allowing American Permian producers to sort of achieve another foothold. I got to think that they are incentive to try to keep price down to a level where the Permian just doesn't get going again which should help keep associated gas out of the market, but may in the future will tell. And that's why we keep folk, we keep, we just stay steady and consistent on hedging and taking all that volatility risk out of our free cash flow plan.
Noel Parks: Great. Thanks a lot.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I’d like to turn the conference back over to Tyler Lewis for any closing remarks.
Tyler Lewis: Great, thank you, Chad and thank you everyone for joining us if you have any additional details. Please free feel to reach out to the company. Thank you for joining.
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.